Operator: Good morning ladies and gentlemen and welcome to Gran Tierra Energy's Conference Call for Fourth Quarter and Year End 2021 Results. My name is Livia and I will be your conference coordinator for today. At this time, all participants are in a listen-only mode. Following the initial remarks, we will conduct a question-and-answer session for [indiscernible]. [Operator Instructions] I would like to remind everyone that this conference call is being webcast and recorded today, Wednesday, February 23, 2022, at 11:00 A.M. Eastern Time. Today's discussion may include certain forward-looking information, oil and gas information and non-GAAP financial measures. Please refer to the earnings and operational update press release we issued yesterday for important advisory and disclaimers with regard to the information and for a reconciliation of any non-GAAP measures discussed on today's call. Finally, this earnings call is the property of Gran Tierra Energy, Inc. Any copy or rebroadcasting of this call is expressly forbidden without the written consent of Gran Tierra Energy. I will now turn the conference call over to Mr. Gary Guidry, President and Chief Executive Officer of Gran Tierra. Mr. Guidry, please go ahead.
Gary Guidry: Thank you, operator. Good morning and welcome to Gran Tierra's Fourth Quarter and Year-end 2021 Results Conference Call. My name is Gary Guidry, Gran Tierra's President and Chief Executive Officer. And with me today are Ryan Ellson, our Executive Vice President and Chief Financial Officer; and Rob Will, our Vice President of Asset Management. We issued a press release yesterday that included detailed information about our fourth quarter and year-end 2021 results. In addition, Gran Tierra's 2021 annual report on Form 10-K has been filed on EDGAR and is available on our website. Ryan and Rob will make a few brief comments to summarize and provide context and then we will open the line for questions. I'll now turn the call over to Ryan. Over to you, Ryan.
Ryan Ellson: Thanks, Gary. Good morning, everyone. After the many challenges in 2020 that the world faced, 2021 was a year of strong recovery for the energy industry and Gran Tierra. Our top-tier, low-decline, onshore, conventional asset base continued to prove it's high quality as the company returned to strong growth in 2021. Our production, proved reserves, funds flow from operations, free cash flow and after-tax net asset value or NAV per share all saw increases from the previous year. We continue to show strong reserve replacement ratios on both proved and proved developed producing basis, driven by our successful, on-budget development programs and waterflood initiatives which Rob will describe later. During 2021, our net income was $42 million, the highest realized since 2018, while our adjusted EBITDA was $242 million. Funds flow from operations were $186 million, resulting in free cash flow of $37 million which was the highest GT has achieved since 2012. Gran Tierra's on-budget capital spend totaled $150 million for the year and focused on development activities. You may recall that a year ago we made a commitment to reduce our credit facility balance and we were able to repay approximately $123 million during 2021 resulting in a credit facility balance at the end of the year of $68 million with cash and cash equivalents of $26 million. With forecasted free cash flow during 2022, we plan to have our credit facility completely paid off before the end of June this year. During 2021, through direct tax refunds and value-added tax on our oil sales, Gran Tierra collected a net cash inflow of $21 million compared to $55 million net collections in 2020. Gran Tierra's strong operating netback of $34.13 per barrel for the year was up 146% from $13.86 in 2020. Looking to 2022, we announced a capital budget of $220 million to $240 million, allocating 70% to development, value optimization of existing assets and 30% to high-impact exploration in Colombia and Ecuador. We are forecasting production of approximately 31,000 barrels of oil per day, the midpoint of our guidance which is a 19% increase over 2021 with current production being approximately 30,000 barrels per day. Our balance sheet has strengthened significantly. And with the substantial capital expenditures incurred in 2017 to 2019 behind us, we're well positioned for material free cash flow in 2022 and beyond. At $80 per barrel Brent, we are forecasting year-end 2022 net debt to EBITDA of approximately 1x, free cash flow of $180 million before exploration and $110 million after exploration. Gran Tierra's 2022 exploration campaign of up to six to seven wells will be fully funded from internally generated cash flow and designed to focus on near-field prospects and proven basins with access to infrastructure, providing short cycle times from discovery to bringing production on stream. We're also very excited to be drilling our first exploration well in Ecuador in 2022. We've entered into Brent oil hedges on 9,000 barrels of working interest production during the first half of 2022 and no hedges beyond midyear. These hedges represent just under 30% of our forecasted first half 2022 production providing downside protection as we execute most of our development activities and pay off our credit facility. The weighted average ceiling of the hedges is approximately $87 per barrel with a floor of $75.50 per barrel which has allowed GT to participate in the significant recent oil price rally. We will continue to look at layering in some hedges for the second half of 2022. Before I hand it over to Rob, I want to mention some of our Beyond Compliance Policy initiatives. Where Gran Tierra identifies significant opportunities and benefits to the environment communities, we voluntarily strive to go beyond what is legally required to protect the environment and provide social benefits because it's the right thing to do. In 2021, for the first time, GTE reported Scope 2 greenhouse gas or GHG emissions in addition to Scope 1 emissions in the company's yearly GHG emissions report. The 2022 results on overall GHG emission reduction in excess of 60% relative to 2019 which was achieved via the company's gas-to-power projects and additional operational efficiencies. Starting in 2016, with Conservation International, we committed to reforesting 1,000 hectares of land and securing and maintaining 18,000 hectares of forest through our flagship NaturAmazonas project over a five year period in Southern Colombia. For context, 19,000 hectares is about 48,000 American football fields. Over the life of the project, it is expected 8.7 million tons of CO2 will be sequestered. In 2021, Gran Tierra continued with the stringent implementation of COVID-19 protocols by conducting approximately 65,000 PCR and antigen tests and ended the year with a very low positivity rate of 0.7% among it's employees. Gran Tierra also acquired and donated COVID-19 vaccines for all it's employees in Colombia. Gran Tierra is committed to work with Colombian national and local governments and local communities to further their peace-building efforts. In 2021, the company invested $2.9 million locally in projects identified by the communities to meet their needs. The projects include the installation of sanitary units for rural families and infrastructure improvements to local schools and rural roads. In 2021, as part of it's commitment to the UN Guiding Principles for Business and Human Rights, Gran Tierra continued with it's humanitarian demining efforts in Putumayo, clearing a total of 31,000 hectares in partnership with local communities. These are just some of the initiatives we've undertaken in 2021 and I highly encourage everyone to take a look at our 2021 Sustainability Report which will be available in the second quarter of 2022. I'll now turn the call over to Rob who will discuss some of the highlights of our current operations.
Rob Will: Thanks, Ryan. Good morning, everyone. I'll briefly cover a few operational highlights from yesterday's press release as well as our recent press release regarding year-end reserves to provide an overview of some of our key activities for 2022. We are very pleased with the performance of our high-quality conventional oil and gas assets during 2021. As Ryan mentioned, all of our major assets are being waterflooded to optimize oil recovery and value from each field. As summarized in our recent press release, the company achieved material proved developed producing or PDP reserves additions in 2021 as a result of excellent waterflood performance and successful on-budget development joint campaigns at Acordionero and Costayaco. Our excellent PDP reserves replacement ratio was 148% with PDP reserves additions of 14.3 million barrels. Our total proved or 1P reserves additions of 11.9 million barrels gave us a strong 1P reserves replacement ratio of 123% resulting in a grand total of 81 million barrels of remaining proved reserves at year-end 2021. Equally important to enhancing and increasing oil and gas reserves, we focus on the optimum long-term value for each asset. As a result of our successful development program as well as the strong recovery in oil prices, our proven net present value or NPV discounted 10% before tax increased 36% compared to year-end 2020 to $1.6 billion, resulting in a proven net asset value, or NAV, of $2.61 per share before tax. Our proved plus probable or 2P NPV10 before tax increased 22% compared to year-end 2020 to $2.4 billion resulting in a 2P NAV of $4.72 per share before tax. Why do we focus so much on waterflooding. Combined, our four major oil assets have roughly 800 million barrels of oil in place on a gross basis or about 700 million barrels on a working interest basis which means for each percentage point of improved recovery we achieved from our waterflooding operations, we can potentially add another 7 million barrels of working interest reserves or about 9% of our current proved reserves. Gran Tierra's four major oil assets, Acordionero, Costayaco, Moqueta and Suroriente, all of which are on waterflood and our conventional, low-decline oil reservoirs represent 84% of the company's proved reserves and 70% of our 2P reserves. As Ryan mentioned, we have a continuous program of optimizing both operating and capital cost structures across the company. The ongoing material cost reductions for development drilling, completions and workovers in the Acordionero oil field, Gran Tierra's largest oil asset, will allow further downspace drilling to enhance both oil recovery and asset value. The company drilled 20 development wells in Acordionero during 2021. These new wells were drilled for an average cost of approximately $1.1 million per well, a 27% reduction from the 2020 average cost and a 42% reduction from a 2019 average. These new wells completions cost averaged approximately $0.7 million per well, down 14% from the 2020 average and down 41% from the 2019 average. GTE's largest asset, our Acordionero waterflood in the Middle Magdalena Valley is currently producing approximately 16,000 barrels per day of oil and continues to see strong waterflood performance indicated by stable reservoir pressures, water cuts and gas oil ratios as well as strong oil rates. By the end of Q1 2022, all water injection wells will have manuals added, whereby water injection can be selectively controlled into the different Lisama sand units, resulting in a more efficient waterflood and increased recoveries. Acordionero water injection capacity currently sits at approximately 43,000 barrels per day and is being increased to 60,000 barrels per day by Q3 2022 to allow for optimized waterflood management as additional wells are drilled this year. Waterfloods GTE's other three major fields, Costayaco, Moqueta and Suroriente, all continue to perform strongly. Voidage replacement ratios, barrels of fluid injected as a ratio of barrels of fluid withdrawn are all at or near unity ensuring stable reservoir pressures leading to strong waterflood performance. All GTE's major waterfloods have significant drilling potential to enhance and increase their remaining oil reserves and value in 2022 and beyond. 2022 will see 14 to 16 new drills at Acordionero, four to five at Costayaco and three at Moqueta. In addition to the waterflood optimization and drilling initiatives at Acordionero in 2022, we are very excited to have initiated the design and implementation of enhanced oil recovery polymer pilot which we plan to have operational in the second half of 2022. The goal of the pilot is to prove the economic benefit of thickening the injected water with polymer and improve the waterflood sweep efficiency in one or two waterflood patterns. The increased sweep efficiency which should result in incremental recoverable oil barrels is created by bringing the viscosity of the water closer in line with the higher viscosity of oil. We are focusing efforts in allocating capital -- why are we focusing efforts in allocating capital to pilot testing polymer flooding? Successful polymer floods can enhance oil recovery by 5% to 10% of original oil in place. Upon a successful pilot which we run for approximately 12 months, a broader polymer pilot will be rolled out starting in late 2023 or early 2024 in the broader pattern portion of the pool. We have recently completed independent, third-party laboratory testing, utilizing reservoir core and oil samples recently obtained at Acordionero. The lab testing has indicated significant, incremental oil recovery should be obtainable with additional polymer to our injected water. In line with other polymer floods worldwide and incremental oil recoveries in the pattern portion of the pool could potentially be in the range of 5% to 10%. Similar lab work has been kicked off to determine the feasibility of potential polymer or polymer surfactant flooding at our Costayaco and Moqueta fields. I will now turn the call back to the operator. And Gary, Ryan and I will be happy to take questions. Operator, please go ahead.
Operator: [Operator Instructions] And our first question coming from the line of Josef Schachter with Gran Tierra [ph]. Your line is open.
JosefSchachter: Thank you very much. Good morning, Gary and Ryan. I've got a bit of a cold. So I have two areas I would like to chat about. First one with Roger. With prices at Brent where they are right now, potentially, there'll be an extra $100 million assuming it holds for the year. Are you looking at using that to improve the balance sheet once the RBL has paid off? Or would you use that to buy in the open market some of the outstanding debt? How do you see using any incremental windfall cash flow versus what you've got in your budget given these prices that are $20 higher than your high case in your forecast?
Ryan Ellson: Yes. Thanks, Josef. Yes, it's Ryan. Yes, I think it's -- right now, our objective is to get our net debt to EBITDA of under $500 million which we think would be in Q3, Q4, depending on pricing, as you mentioned. At that time, there's a number of things that we look at, whether it's bond buybacks or share repurchases; those would be the focus.
Josef Schachter: Okay. And then for Gary, I'm reading a lot about the political situation in Colombia where the leftwing Gustavo Petro seems to be in the lead in the polls from the articles. And the comments in the media seem to say that he's anti-energy. Will this affect your CapEx spending? Has he talked about raising royalties as he talked about not approving in certain areas, environmentally sensitive, native areas, drilling opportunities or drilling approval processes. How do you see the political situation evolving in Colombia? And how do you see that potentially impacting your operations after the election if he is the winner?
Gary Guidry: Yes. I think the easiest way to describe that is we have regulatory approval for everything we're doing this year and beyond. In terms of what Petro has said is that he's against any new exploration, any new leasing lands. We're very comfortable with the inventory that we have going forward. And we have committed to the government to execute programs on those lands and we will fulfill those commitments. We've also expanded into Ecuador, the Putumayo and the extension into Ecuador, the Oriente basin. We're quite excited that we're going to be kicking off an exploration program south of the border as well. And so I think there are two elections coming up. The first is the parliament or the Congress elections will happen in March and then the presidential elections in May and June. Overall, we believe that Colombia will stay conservative in terms of their approach to business in terms of all of the business-friendly environment that we have seen over the last couple of years and we're quite proud -- as Ryan summarized, we're proud of what we're doing and we will continue to do regardless of who's the President going forward. We do it because it's the right thing to do.
Josef Schachter: Good. That's it for me. And thanks very much and congratulations on the improvement over the last year.
Gary Guidry: Thank you.
Operator: Our next question coming from Anne Milne with Bank of America. Your line is open.
AnneMilne: Good morning. Thank you very much for the call. A couple of questions, although Josef asked two very good ones right before me. On your reserves, congratulations on the very good numbers that you posted. It does sound that your drilling program is going to be focused primarily on areas -- proven areas that you already have. So would you expect going forward that any changes or additions to your reserve numbers would come from existing fields as opposed to new discoveries at least in the short term? That would be my first question.
Gary Guidry: I think the easiest way to describe that is, Rob summarized our waterfloods are doing very well. We're looking at going beyond that with the pilot test on polymer. And so we'll continue to drill and enhance in the field that we have but we're also targeting near-field exploration. We see things on seismic that tie right into infrastructure and I think we'll continue to focus our exploration around our large fields as well. And so the answer to your question is we'll continue drilling in the field that we have just because the performance is doing so well.
Anne Milne: Okay, excellent. And you also just did mention your Ecuador investment in Oriente Putumayo. What has been the track record of other drilling in Ecuador in terms of from first oil to commercialization? I think it's not too long but I was wondering if you have any data on that.
Gary Guidry: Yes. It's very similar to Colombia, to the Putumayo in particular. There's a very good road system. There's very good pipeline infrastructure. And so the time from a discovery, even the testing part of that, the oil can be sold. And we're already operating in Ecuador. We shipped a lot of our oil through Ecuador for export purposes. And so we're quite familiar with the country and with the infrastructure that's in place. And so the cycle time is very short.
Anne Milne: Okay, great. And then the third and last question I have is on GHG emissions. Just sort of two points on this. You've mentioned that you're trying to conserve your excess natural gas and using it for power generation. I was wondering if you could give a little bit more information on that. And second is, have you -- or would you consider buying carbon credits?
Gary Guidry: Yes. The answer to the gas, we've invested significant amount of money over the last five years. Most of that was in place by the end of 2019. So that investment is behind us in our major fields. And that investment was turbines, gas turbines, to utilize natural gas. What we're doing at the moment is we're going to some of our remote fields and putting in power generation in the smaller remote fields. And our objective is to get to 100% power generation from natural gas. In terms of credits, we're not at the moment looking into carbon credits. What we're looking into is expanding what we're doing. Ryan mentioned the reforestation projects. We're quite proud of that. We're looking at some other things that we can actually do to complement our activities in Colombia and Ecuador as well in the agricultural areas in cooperation with the government of Colombia. They have some big plans, big programs and we're very supportive of what they're doing in addition to the things that we're doing on our own.
Anne Milne: Great. Thank you so much.
Operator: And our next question coming from the line of David Herzberg with Stifel. Your line is open.
DavidHerzberg: Hi, good morning and thank you for the call. In your annual report, you illustrate the percentage of oil sold through your three sales and transportation channels, pipelines, wellhead and trucks. I was wondering if you could provide some color with respect to how you envision the percentage of oil sold through these channels. Do you expect it to change at all in 2022 from 2021.
Ryan Ellson: Yes. Yes. I think in 2022, we would expect a significant change. Some of the -- because all of our oil eventually goes through pipelines and sometimes we either sell it to wellhead. They eventually truck to pipelines or we truck ourselves to a pipe to an inlet pipeline. And so we don't anticipate any changes in 2022.
David Herzberg: So those percentages that you have illustrated over the last three years, for example, the 12% or you say volume transported through pipelines and then 34% at wellhead and 54% because there was a difference in 2020 versus 2021. So are you suggesting that 2022 will look very much like 2021?
Ryan Ellson: Correct. Yes, 2021 is a better proxy looking forward.
David Herzberg: Great, thank you.
Operator: Our next question coming from the line of Ariana Cobalt [ph] with Balanz Capital. Your line is open.
Unidentified Analyst: Hi, good afternoon. This is Ariana Cobalt [ph] from Balanz. I have a couple of questions. If you don't mind, I will not be going one by one. So just for the first one, if you could provide us further color on -- in terms of cash balance ending this year given your investment plan? Where do you see cash balance?
Ryan Ellson: Yes. I think with respect to the cash balance, obviously, price has a huge impact. I think if you look at $80 oil price environment, the cash balance would end around $120 million to $140 million. And for each $10 increase in Brent price adds about $60 million of free cash flow which assume can go to the balance sheet.
Unidentified Analyst: Perfect. And more regarding on your exploration plan. If you could elaborate more, we see in your filings, $20 million for 2022 in one well for Ecuador. So if you could provide further detail in terms of which area do you expect it. And if this number already includes 3D and seismic work.
Ryan Ellson: Yes. I think on the exploration drilling program, I think in our latest slide deck, we have a pretty good chart in there that shows the timing of the wells and when we're drilling the wells. And so in Ecuador, if you look at -- we're going to drill two to three wells in Ecuador, one well in the Middle Mag and three wells in the Putumayo really starting in May and June of this year. And again, these are all near existing fields with close access to infrastructure. So there's really no seismic plan for 2022. We have all the seismic that we needed. In fact, some of the -- few of the wells in the Putumayo are being drilled off the seismic that we actually shot in 2019.
Unidentified Analyst: Perfect, that sounds great. And one last one from my side. Regarding the CapEx breakdown for 2021, I couldn't find much detail. So if you could perhaps provide more information in terms of how much of that went into exploration and facilities, that would be very helpful.
Ryan Ellson: Yes. 70% is going into development and 30% into exploration. And really -- and if you look at the development, about half of the development will be going into the Acordionero field and the remainder into Costayaco and Moqueta.
Unidentified Analyst: So sorry, just for the last one, I was referring to 2021. Like for the last year, how much went into exploration.
Ryan Ellson: Almost all of our dollars were in development. We had very little exploration dollars in 2020, 2021. It was all development expenditures.
Unidentified Analyst: Okay, perfect. That's very helpful. Thanks, again.
Ryan Ellson: Great. You're welcome.
Operator: Our next question coming from the line of Alexandra Symeonidi with William Blair. Your line is open.
AlexandraSymeonidi: Hi, thank you for taking my question and congratulations on the strong results today. I wanted to ask a follow-up on political risk. And I have two more questions. So the first one would be basically, how do you see the risk of license not getting renewed if Petro wins? And also regarding that for how long do you still have a license? When do your licenses end?
Gary Guidry: Yes. The short answer to that is it's not a matter of just renewing licenses. To get a license, we've committed to work, whether that's drilling exploration wells, shooting seismic. And so we don't see any risk of us fulfilling our commitments nor the government are not asking companies like Gran Tierra and others to fulfill their work commitments in the country. I think what Petro has said publicly is he's against any new licenses, any new lands being issued. And so the answer to your question is we believe that we have a commitment in the country to do work on the lands that we have and we'll fulfill those commitments. So that risk is very low.
Alexandra Symeonidi: Okay. And can you also remind me until when your license expire for Acordionero, for example?
Gary Guidry: Yes. Our licenses on exploration, they vary in terms of time. Acordionero, Rob, is...
RobWill: 2039.
Gary Guidry: 2039. So we have lots of time. And there's also clauses in our contracts to extend those for up to 10 years, if we choose to do so.
Alexandra Symeonidi: Okay. And how about the others? Is it about same time, like, for example, Costayaco?
Gary Guidry: Costayaco, Moqueta in 2030 as well. So we have plenty of time which is why we're continuing to develop in those fields. The one contract that is near term is the Cohembi, the Suroriente. It's our fourth largest asset. And we've assumed in all of our values and all of our reserves that, that contract will not be renewed in 2024, although if that may happen, we're not counting on that happening going forward.
Alexandra Symeonidi: Okay, that's helpful. And can you remind me what is the water injection right now in Acordionero, I think you mentioned it in the presentation but I think I missed that.
RobWill: Yes. Current water injection at Acordionero is approximately 43,000 barrels per day water. And we plan on ramping that up to 60,000 barrels a day by Q3 2022 as we drill additional wells. And of course, over the next few years, we'll continue to ramp up as we continue to drill additional wells.
Alexandra Symeonidi: Okay. And then for exploration, is it mostly Acordionero that you plan to exploration or the other fields as well?
Gary Guidry: No, it's across all of the basins. We're drilling some -- a couple of wells in Ecuador, the Putumayo and the Middle Magdalena Valley as well and so it's three different areas.
Alexandra Symeonidi: Yes. So it's balanced, you would say, between the three?
Gary Guidry: It's balanced, yes.
Alexandra Symeonidi: Okay. And my last question would be regarding transportation costs. I see that your transportation costs are lower versus your Colombian peers like Frontera, for example. Why is that something transportation around $1 to $2 per barrel? Is this correct? And why is it so low versus your peers in the region?
Ryan Ellson: But part of that is, one, our transportation which are a little bit lower cost. We don't use a lot of the pipeline infrastructure in Colombia. As you know, the pipeline costs are quite high. What we use mostly, if you look at the Putumayo, we actually truck down to Ecuador. So much, much lower cost which brings down our cost. So the transportation costs do come off of our revenue price. So if you look at our guidance, it's around $10 of transportation quality discount of what we assume and that comes off of revenue.
Alexandra Symeonidi: Okay. Okay, that makes sense. And then from -- it is connected to Ecuador and then from there, it's connected to the pipeline?
Ryan Ellson: We actually truck down to Ecuador and it goes into OCP pipeline, then it goes to the Esmeraldas port, the deepwater port in Ecuador.
Alexandra Symeonidi: Okay. Thank you very much.
Ryan Ellson: Thank you.
Operator: Our next question coming from the line of Devin Rosenbaum [ph] with Seaport Global. Your line is open.
Unidentified Analyst: Hi, thanks for taking my question and congratulations on the strong results. Just one question. The water flooding and the polymer test for 2022, is this part of the -- is it included in the year 2022 CapEx guidance? And [indiscernible] not, what is -- what you're expecting to spend on that in 2022?
RobWill: Yes. We have -- yes, thanks, Devin. We absolutely have included the costs in our 2022 capital budget. And it's a fairly -- the pilot is a fairly modest cost, approximately a couple of million dollars, $2 million, say, approximately to pull off that pilot as far as initial costs go and it will be little bit more than that, actually, including some of the polymer cost. So it's quite a modest cost to pilot. Obviously, when we perform a successful pilot and as we go into a full field polymer flood, hopefully, in late 2023, early 2024, obviously, the costs would be much more significant. But by that time, we'll prove how it works and giving us some excellent incremental recovery there. So I mean we're quite excited about this because it's -- polymer, of course, is used throughout the world and it's also used extensively in Colombia as well in very similar pool. So this pool within it's cost of oil at Acordionero, this pool should respond very well to polymer which has already been illustrated in the lab work.
Unidentified Analyst: Thanks a lot. Thank you.
Operator: I'm not showing any further questions at this time. I would now like to turn the call back over to Mr. Guidry for any closing remarks.
Gary Guidry: Thank you, operator. I would like to thank everyone for joining us today and we look forward to updating you over the quarter and as we progress. It's an exciting year and we're very appreciative of your support. Thank you.
Operator: Ladies and gentlemen, that concludes our conference for today. Thank you for your participation. You may now disconnect.